Operator: Good day. My name is Victoria and I'll be your conference operator. At this time, I would like to welcome everyone to the CRM Q4 2017 Earnings Conference Call. Thank you. I would now like to turn the call over to John Cummings, Vice President of Investor Relations. Sir, you may begin.
John Cummings - salesforce.com, inc.: Thanks so much, Victoria. Good afternoon, everyone, and thanks for joining us for our fiscal fourth quarter and full year 2017 results conference call. Our fourth quarter results press release, SEC filings and a replay of today's call can be found in our Investor Relations website at www.salesforce.com/investor. With me on the call today is Marc Benioff, Chairman and CEO; Keith Block, Vice Chairman, President and COO; and Mark Hawkins, CFO. As a reminder, our commentary today will primarily be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings press release. Also, some of our comments today may contain forward-looking statements which are subject to risks, uncertainties and assumptions. Should any of these materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements. A description of these risks, uncertainties and assumptions and other factors that could affect our financial results are included in our SEC filings, including our most recent report on Form 10-K. With that, let me turn the call over to Marc.
Marc Russell Benioff - salesforce.com, inc.: Okay. Hey, thanks, John. And you know what, this is really an exciting call for us. I'm just going to tell you right now why we're so excited. This is our 50th quarter as a public company and we couldn't be more thrilled to be on the call with everybody today. You know, in 2004, when we went public, we had $46 million in quarterly revenue. And now in the fourth quarter alone, we delivered $2.3 billion in revenue and, for this fiscal year, we are guiding to more than $10 billion in revenue. I just had the opportunity to review the financial numbers and details, as I'm sure all of you have, and when you look at operating cash flow up 50% year-over-year at these extraordinary rates to $706 million or that we now have $14.5 billion of book of business on and off the balance sheet, up 28%, I mean, is just beyond our expectations. We're absolutely thrilled with the performance of the company and these are clear financial indicators of how well we're doing and also how well we're going to do in the future. Look, I'm incredibly grateful to our employees, our customers, our board members, our shareholders, the Salesforce community, all of our stakeholders over the last 18 years have been on this path together with us, thank you to each and every one of you for everything that you've done for us. We are absolutely grateful. And I am extremely proud as well with this amazing recognition that we received from Fortune Magazine which ranked Salesforce as the 20th most admired company in the world. That is something we could have never anticipated and the number one work place for giving back. So thank you very much for that. Now, we've proven over last 18 years that a company can do good and also – do good in the world and also do well and I'm going to go through some of our fourth quarter financial highlights to get to some of these incredible numbers. Revenue for the quarter rose to nearly $2.3 billion, that's up 27% year-over-year. It's amazing and, of course, this has not been an easy foreign exchange environment this year, has it, Mark?
Mark J. Hawkins - salesforce.com, inc.: It's not, for sure.
Marc Russell Benioff - salesforce.com, inc.: So those numbers would be even higher if we did not see things that have happened in Brexit and pressure on the Great British Pound. So also just amazing how we saw revenue for the full fiscal year was nearly up $8.4 billion, up 26%. Incredible. No other enterprise software company of our size and scale is growing at this rate and we've continued to balance this top line growth with improvement in non-GAAP operating margin, which I'm going to have Mark talk a little bit more about in just a second. Deferred revenue grew to more than $5.5 billion, up 29%. Pretty awesome. And dollar value of book business on and off the balance sheet now more than $14.5 billion. I just touched on that. I'm sure that you all realize that means that we've added more than $3 billion since last year. So, now, looking ahead to fiscal year 2018, you can see why we are raising to $10.2 billion at the high end of our range and this incredible fast growth is a result of how we are uniquely addressing the needs of more than 150,000 of our customers from around the world, building a single view of their customers, and no company like this has ever been created before, company and enterprise software singularly focused on the customer. No other company has 25,000 employees solely focused on CRM and helping to build deeper and more intelligent relationships with their customers. We are so well positioned for the future. We're the clear leader in the fastest-growing enterprise software segment, CRM, and here's something kind of amazing. CRM, I'm sure you saw this incredible report from Gartner. The enterprise software marketplace is really sliced into four key pieces: one, operating systems, which are in decline; two, ERP, which is slightly up; databases, slightly up; and CRM, which is now by 2020 will be the largest segment of the enterprise software market. That's incredible. We're the largest player in that market, and we're also the leaders in our core markets in that sector in sales, in service, in marketing, in commerce and platform. We're exiting fiscal year 2017 with the strongest portfolio of products we have ever had, including some amazing technology and teams that we have also been able to bring under our wing over the last year, including these great organizations like Demandware and Krux and Quip. Okay. I can tell you I've never been more excited about the future, and we are really well positioned to take advantage of this very, very fast growing CRM market as this quarter results indicate, and you're going to hear now Keith talk about some amazing customer wins. Now, before we go down to Keith and the customer success stories, I want you all to mark down March 7. March 7, in only a week, we are going to have a worldwide webcast to 2 million of our customers and users, and it's going to come to you from our new building at Salesforce East in San Francisco. And that will be right next to Salesforce Tower that I'm sure a lot of you've seen. It's rising high in the sky here in the city. And if you can come to March 7, you're going to see some amazing customer announcements, product announcements, partnership announcements, and we have got some incredible stuff to talk to you about. So we'll hopefully see you in one week here in San Francisco, and you're going to also see the latest in what we're talking about with Einstein, with our spring and summer 2017 product releases. And some of our largest customers are going to be there as well talking about some of their expansions, some that we're talking about on the call here and others that we're holding until March 7. So you can catch some news a week from now on Salesforce as well. Okay, Keith. Go ahead.
Keith G. Block - salesforce.com, inc.: All right. Thanks, Marc. Obviously, this was an exceptional quarter. Salesforce is the fastest-growing top five enterprise software company in the world, and this year, we expect to deliver more than $10 billion in revenue. And that will reach the milestone that we've been talking about, about being faster than any other enterprise software company in history to that $10 billion mark. In FY 2017, we drove tremendous execution, growth of scale and delivered unprecedented customer success. And we did this while integrating Demandware, our largest acquisition ever, launching innovative new products, including Einstein, and adding more than 5,000 employees. When I joined Salesforce nearly four years ago, Marc and I put together a plan to become more strategic to our customers and to become more of an enterprise skilled company, and that plan really had three parts to it. Number one was the focus on industry. This is all about speaking the language of the customer and bringing industry expertise and launching industry products in the marketplace. The second was expanding our international reach to serve our global customers. Very, very important. And the last was building the world's strongest ecosystem in the cloud, and that was with our SI partners and our ever-expanding ISV community. Well today, we have strategic relationships with the largest and most successful companies in the world. We're inspiring companies of all sizes, all industries and all geographies. We have clearly become the trusted advisor to our customers for their digital transformations. All of this is translating to our results, including a record number of big transactions. In fact, we hit a huge milestone this fiscal year which we're incredibly proud of, and that was achieving 100 $10 million-plus relationships on an annual basis and the number of $20 million-plus relationships has nearly doubled in just one year. Pretty incredible progress. Now, let's talk about some of the highlights in the quarter, starting with our industry strategy, again one of our growth pillars. We had strong growth in Q4 in all of our target industries. In fact, the largest deal in the quarter was a massive expansion with one of the world's leading CPG brands based in Europe using Marketing Cloud, Sales Cloud and Service Cloud to deliver personalized consumer experiences. We expanded our relationships in Q4 with three of the five largest CPG companies in the world, all of them running on Salesforce. And, as you recall from last quarter, our momentum is continuing in financial services. In Q4, we expanded relationships with U.S. Bank, SunTrust, TD Bank and many, many more. We're also building on a very strategic relationship with Farmers Insurance. Now that's from our early days in helping them modernize their customers' self-service to bringing more synergy across their customer, agent, employee and partner channels. Healthcare continues to be strong for us. In Q4, we expanded relationships with Anthem, athenahealth and one of the largest healthcare companies in the United States, Humana. And just a quick update on Financial Services Cloud and Health Cloud. It's been less than a year since they've been GA and we've already seen great traction. In fact, more than 70% of customers who have purchased one of these industry solutions are net new logos to Salesforce in this fiscal year. So all of these are proof positive around the power of speaking the language of the customer. Now on to international, our second growth strategy. Each of our regions grew more than 25% in constant currency for the full year. In fact, EMEA and Asia Pac both grew 29% year-over-year in constant currency. So today, nearly 30% of our revenue is outside of the Americas and this represents a huge, huge growth opportunity for us. And we'll continue to accelerate our international expansion to meet our customers' demand and I fully expect our revenue mix to be more balanced over time. And this is, again, something that we're very, very focused on and very excited about. Now to that end, we expanded relationships in Q4 with some amazing brands like Shell, Michelin, Emirates and Maersk in Europe. We drove strong financial services momentum as well, again, in the industry with 5 of the top 15 banks in Europe this quarter including Banco Santander and BCC, again, all running their business on Salesforce. We had other huge international wins in the quarter with BRF, Latin America's largest food company, also with the Japanese Cabinet Secretary for Social Security and Tax and Fujisoft, all in Japan. So great progress, again, on the international front. As far as partner momentum, we continue to strengthen our partner ecosystem. In fact, we are seeing partners grow their Salesforce practices by more than 50%. Today, every single one of the top five SIs in the world run their business on Salesforce. A great example of this is Deloitte. We have an incredible partnership with them. In the quarter, they expanded their relationship with us, rolling out sales, service, analytics and of course, the Salesforce platform. We're also seeing strong momentum in our ISV community and the innovation around our platform in that community. In fact, today nearly 90% of the Fortune 100 are running apps from the AppExchange and these are apps that are being installed by customers at a rate of more than one per minute every single day, which is pretty incredible. Now before I wrap up, I want to say how proud I am of the company and our ability to integrate more than a dozen acquisitions in FY 2017 while still delivering really record-breaking results. And look, this operational excellence, it's already paying off. We're driving incredible value and innovation for our customers. In fact, this quarter, we had a huge set of Commerce Cloud wins with Levi's and The Gap and YETI and many, many others. And Commerce Cloud grew customer gross merchandise value by 26% in constant currency from a year ago, again, an acceleration from Q3. So look, in summary, I would tell you that no other technology company is building the relationships that we are. We are driving incredible innovation. We're bringing huge value to our customers. We continue to inspire our customers. We continue to paint a vision for their success, and as I said, we are executing at scale across every part of the company and delivering success for our customers better than anybody else in the world. And with that, I'll hand it over to Mark.
Mark J. Hawkins - salesforce.com, inc.: Thanks, Keith. As you've heard, we delivered another year of strong financial performance in FY 2017 with outstanding top-line growth, continued operating margin expansion and excellent cash flow. And over the last three years, we've actually doubled our revenue, we've increased our non-GAAP operating margin by more than 400 basis points, which has translated into nearly a tripling of our free cash flow. And I'm especially pleased with our cash flow performance and operating margin improvement even as we've been making critical investments in our long-term growth. Now let me discuss Q4 and FY 2017. Q4 revenue grew 27% in dollars and 28% in constant-currency excluding a year-over-year FX headwind of approximately $30 million. For the full year, the revenue grew 26% in dollars and 27% in constant currency, with the revenue from companies that we acquired in FY 2017 contributing approximately 2.5% to year-over-year top-line revenue growth. Driving this strong top-line growth was the performance of our portfolio cloud throughout the year. A couple of highlights. Sales Cloud grew 13% for the full year, becoming the first $3 billion cloud. Service Cloud grew 20% for the full year. Platform and Other grew 39% for the full year and Marketing Cloud, excluding Demandware and Krux, grew 25% for the full year. Our Demandware performed strongly in the first six months, contributing approximately $63 million in revenue for the quarter and $120 million for the year. And note this was at the high end of our initial guidance despite adjustments due to purchase accounting. Dollar attrition for the fourth quarter, excluding Marketing Cloud and other acquired businesses, remained below 9%. Before I turn to cash flow and balance sheet, let me spend some time on margins. Full-year non-GAAP gross margins were down 126 basis points over last year primarily due to revenue adjustments due to purchase accounting, increased investments in acquired companies and thirdly, a slightly higher mix of professional services revenue due to a large increase in our strategic transactions. Despite this, our full-year non-GAAP operating margin was up 78 basis points over last year and slightly ahead of our prior guidance of approximately 70 basis points. These results included a headwind of approximately 150 basis points related to FX and the acquisition of Demandware. This operating margin improvement helped drive a record cash flow for Salesforce as we delivered more than $2.1 billion in operating cash flow, up 29% over last year. This translated into an operating cash flow yield of 25.8%, which was slightly higher than FY 2016. Given that cash flow is my number one priority, I'm very pleased with these results considering the headwinds from both FX and M&A activity. CapEx for the year was $464 million or approximately 5.5% of revenue. This was primarily driven by leasehold improvement and a continued investment in data centers globally. For FY 2018, we anticipate CapEx to be between 4% to 6% of revenue, which was in the lower range than in prior years. Deferred revenue grew by 29% in dollars and in constant currency, ending the quarter at $5.54 billion. On a sequential basis, deferred revenue had an FX tailwind of approximately $23 million. Demandware contributed approximately $49 million to deferred revenue in Q4, up from $30 million in Q3. Before I move on to the guidance, a quick reminder regarding seasonality and the impact on operating cash flow and deferred revenue. As we shared with you at the last few Analyst Days, invoicing seasonality continues to deepen. This Q4 was especially strong from an invoicing standpoint. In fact, the sequential change to deferred revenue in Q4 was 59%, up from 45% three years ago. This contributed to the outperformance in cash flow and deferred revenue in the quarter. Moving on to guidance. Coming off a record portfolio, we are pleased to be raising our full year FY 2018 revenue guidance to $10.15 billion to $10.2 billion for 21% to 22% growth year-over-year. This includes approximately $125 million to $150 million of FX headwind. We're also initiating our FY 2018 non-GAAP diluted EPS guidance of $1.27 to $1.29. In context, we expect to deliver approximately 125 basis points to 150 basis points of non-GAAP operating margin improvement in FY 2018. Keep in mind this continued integration of Demandware along with FX headwinds of approximately 50 basis points is expected to slightly pressure our operating margin in fiscal 2018. This margin improvement will help us drive another strong year of operating cash flow and we expect year-over-year growth of 20% to 21% and an operating cash flow yield similar to FY 2017. Let me quickly touch on non-GAAP tax rates. We previously said we would reevaluate this rate annually and/or if a significant event occurs that may materially affect this rate. As we become more profitable, which is a good thing, especially internationally, we expect our long-term tax rate to decrease. And as a result, we are lowering our fixed – our long-term projected non-GAAP tax rate to 34.5% for FY 2018. For Q1, we're expecting revenues of $2.34 billion to $2.35 million, year-over-year deferred revenue growth of 22% to 23% and non-GAAP diluted EPS of $0.25 to $0.26. A few quick notes on our Q1 guide. First, you will recall that in FY 2017 was a leap year. As a consequence, we have one fewer day of revenue in the first quarter of FY 2018. At our current scale, that one day of revenue represents approximately $25 million, which is reflected in our Q1 guidance. Bear in mind this is purely a timing issue and has no impact on the full year of revenue guidance. Secondly, due to the acquisition-related margin pressures in the first half, we expect our FY 2018 profitability EPS to be a bit more of second half-weighted than in prior years. And thirdly, as we discussed, due to continued deepening of our invoice seasonality, we expect the sequential change on deferred revenue from Q4 to Q1 to be a bit steeper than in prior years which is not unexpected. So to wrap up, we had an outstanding quarter and that drove a strong finish to an outstanding 2017. We delivered our third consecutive year of non-GAAP operating margin improvement, even in the face of FX and M&A headwinds. We delivered our first-ever $2 billion operating cash flow and going forward, we will continue to focus on improving our GAAP – our non-GAAP operating margin cash flow while balancing our investments required to ensure growth, customer success and shareholder value. On that, I'd like to thank our employees, customers, partners and shareholders for their continued support. And with that, I'd like to open up the call for questions.
Operator: We will pause for a moment to compile the Q&A roster. Your first question comes the line of Mark Murphy with JPMorgan.
Mark R. Murphy - JPMorgan Securities LLC: Yes, thank you very much. Congrats on a spectacular finish to the year. My question is for Marc Benioff. I wanted to ask you about the acceleration that we're seeing in the Sales Cloud. It does seem rare to see a revenue stream that is so large accelerate like this. And so I'm wondering what you think might be breathing new life into the Sales Cloud, whether it's the Lightning UI upgrades or the layering on of artificial intelligence capabilities or perhaps the pricing environment and competitive environment is becoming less intense or something else? And if I may, I have a quick follow-up for Mark Hawkins.
Marc Russell Benioff - salesforce.com, inc.: Well, thanks so much. Sales Cloud has become one of the very largest software products in the entire industry. And of course all by itself, I think it's probably the largest cloud computing company. Is that right, Mark?
Mark J. Hawkins - salesforce.com, inc.: It is. It's over $3 billion, Marc.
Marc Russell Benioff - salesforce.com, inc.: Yeah. It's over $3 billion. So that's bigger than – Sales Cloud is bigger than what Workday, ServiceNow, NetSuite...
Mark J. Hawkins - salesforce.com, inc.: Correct.
Marc Russell Benioff - salesforce.com, inc.: Better than Oracle's entire cloud business, that type of thing. So – but anyway, yes, Sales Cloud is amazing, and it has reaccelerated, you're right, you've seen the numbers. And you're also right, it has to do with – we've completely rebuilt our Sales Cloud and not just a user interface with Lightning, not just an incredible new CPQ platform with SteelBrick. Of course you saw today, Salesforce1, which is the mobile extension of Sales Cloud, won the Mobile App for Businesses of the Year at Mobile World Congress that exceeds our expectation, but it really demonstrates that Sales Cloud works incredibly well in the mobile environment, the best business mobile app. Pricing, as you know, last year, we enhanced our pricing and made changes based on customer feedback. That's been received incredibly well. And you saw that we introduced our Dreamforce Einstein, which is giving Salesforce artificial intelligence and giving Sales Cloud artificial intelligence. And that gives our customers the ability to take this incredible power of machine intelligence, machine learning, deep learning. And it's available now inside Sales Cloud; that's incredible for our customers. So there's no other Salesforce automation solution in the world that's as successful as Sales Cloud, has the market share of Sales Cloud, has the growth of Sales Cloud, but also is as innovative and competitive as Sales Cloud. It has, after 18 years, remained number one in innovation and capability. That is incredible. And as I pointed out, with this acceleration that is going on in the CRM market, I think that that's part of it. So if you look at that Gartner Chart, they published dividing up operating systems, databases, ERP and CRM, you can see CRM has accelerated because Salesforce automation is an essential part of CRM that's also accelerating, and we have this incredibly innovative product. So we're all set up on Sales Cloud. I hope that answers your question.
Operator: Your next question comes from the line of Ross MacMillan with RBC Capital Markets.
Ross MacMillan - RBC Capital Markets LLC: Thanks a lot. This is also for Marc Benioff and congrats for me as well. Just as you think about Einstein, it's now in-market on Sales Cloud. Maybe you could just touch on how we should expect to see the artificial intelligence get rolled out across sales and marketing and other parts of the platform? And what sort of timing should we expect to see that happen in? Thanks.
Marc Russell Benioff - salesforce.com, inc.: Well, we actually have already begun the rollout of Einstein into all of our clouds and we have made a number of announcements, but we've also released products. And our customers in our spring release have this capability embedded inside many of those clouds, including Sales Cloud, including Marketing Cloud, including Commerce Cloud. And you saw the announcement last week on Service Cloud and Service Cloud Einstein. That's so exciting to see this intelligence start to move across. Einstein is an incredible AI capability and I mean I have to tell you one amazing story. We're going to talk about this more next week and to encourage all of you to come to the March 7 event or watch it on video. But we had a call from a major customer of ours. They're a CPG company and they have a big issue. And the issue that they have is in their stores, they have a lot of shift happening on inventory and they also have a competitive situation as well. They want to know what's going on. They want to know if competitive products are ending up in their shelves, which is supposed to be merchandised only with their own proprietary products. So we showed them just by using a cell phone camera and using Einstein and our deep learning capabilities which have benchmarked, I think, as high as many of the other AI clouds. I'm sure many of you are following that work. Well, all of a sudden, what we showed them was with a simple camera, they're able to do real-time inventory analysis of their retailer shelves and they're able to, based on that analysis that's happening from those cameras, understand the competitive environment, number one. Number two, understand their own environment, and number three, when they are seeing a level of depletion on the shelves that they want to replace, they can just roll trucks automatically using Salesforce Einstein. And of course that also can create customer service cases. It can create sales opportunities automatically, automatically with no one else involved. So all of a sudden, salespeople and service people and marketing people and even truck drivers are all alerted to changes that are happening in the retail environment, which up to this point haven't really been monitored very well and certainly not efficiently. But that's kind of what AI and Einstein are giving us now in the current state of play. That is with a very low-cost camera, coupled with Einstein, gives us incredible intelligence into their customers' environment. Their customer is the retail store. So this vision of the future that AI is going to make our customers more successful, this is playing out now. It also helped us close a very large deal in the fourth quarter, as you'll hear about March 7.
Operator: Our next question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini - Goldman Sachs & Co.: Great. Thank you. This is another one for Marc Benioff. Marc, you launched Analytics obviously a few years ago and at Dreamforce this past year, Alex sounded as if that product had found the right mix of capabilities at the right price points. Can you share with us how you see this opportunity being layered into your installed base? And what's your expectation of traction in this regard for the coming fiscal year?
Marc Russell Benioff - salesforce.com, inc.: Well thanks, Heather. Analytics had a great year. We're very excited about the Analytics offering. We have had this product now in the market for about two years and this is really – I'm speaking really about our Analytics Cloud sales and our Wave platform, which now you know that we've also augmented and extended with Einstein. Now that really changed the game on Analytics. Now I'll just tell you that how I run my own business has dramatically changed based on this product and that is very simple that we have, like a lot of companies, every Monday we all sit together, about 20 of us, and we go through how the quarter is doing and what the major issues are in the company. It's our staff meeting. And there's one extra seat left at the table and that's not for Elijah. The extra seat that we're leaving is for Einstein and that chair which has a little Einstein doll in it, I turn to in the meeting and I can say, Einstein, tell me how is the quarter doing? Usually I have to say that to Keith Block, okay, but now I have Einstein who goes back and looks at all of our fiscal year results over a long period of time, looks at all of our account executives, opportunities and deal flow, look at all of our global pipeline and then all of a sudden says, well yes, you're going to make the quarter, or no, you're going to exceed the quarter by $10 million or you're going to miss the quarter by $10 million. And I can tell you, it's kind of a funny story because this quarter, which is the first quarter that we're using Einstein which is based on sales, this incredible Salesforce Analytics Cloud with Wave and Einstein and this guidance capability. Well all of a sudden, one of our sales managers who was actually doing fine in the quarter and was forecasting in the month, in the Monday meeting saying, oh, I'm going to have a fine quarter. I'm going to have a fine quarter. Well Einstein started to say, no, actually. This is actually, I'll tell you what it's kind of a funny story because he actually made his number and had a world-class quarter, which was our European business. It said to about our European business, well Einstein said, well very sorry, but you're not going to make your number this quarter. You're going to miss by $10 million, okay, approximately. So this really got him upset actually. And I think that it kind of spurred him into action a little bit because it was said because of this variable is not right and this isn't right and this isn't right, you're going to have this result. And all of a sudden, he became kind of, I would say, inspired and went out there and he had a great quarter. Maybe he would have had a great quarter anyway, but this is a new player at the management, on the management team, Salesforce Einstein. This is really coming out of this AI Cloud. Now we could not have anticipated this three years ago when we built Wave. Now Wave has had a huge secondary game because in our core platform and I have that first question on Sales Cloud, well, it's not just Lighting and AI and CPQ and Salesforce1 and pricing within Sales Cloud. Also we have this incredible analytics capability, our baseline analytics which is better than ever built into Sales Cloud. And our customers have never been as satisfied with our core capabilities and dashboards and reporting and now artificial intelligence. That's analytics. And then we of course have our Analytics Cloud which I believe is the most competitive and most exciting and most innovative analytics cloud in the CRM market. So I'm very excited about it. I believe it will continue to be a good strong growth driver for the business and it's still an early product. It's hard because when you have a product like Sales Cloud doing $3 billion and a product like Service Cloud which is doing how much now, Mark?
Mark J. Hawkins - salesforce.com, inc.: $2.5 billion.
Marc Russell Benioff - salesforce.com, inc.: $2.5 billion and then you have Marketing Cloud doing...
Mark J. Hawkins - salesforce.com, inc.: Approaching $1 billion.
Marc Russell Benioff - salesforce.com, inc.: $1 billion, then you have a new product that you kind of built organically internally kind of coming up. It's hard to give it as much of the limelight with the technology and the customer acceptance and how we use it internally has been awesome.
Operator: Your next question comes from the line of Kash Rangan with Bank of America.
Kash Rangan - Bank of America Merrill Lynch: Hi. Thank you very much. Congratulations on the spectacular finish. One for Keith. If you could talk about the tweaks that you're contemplating on the go-to-market side given that we had an infusion of some fantastic technology in acquisitions in the past 12 months? And one for Benioff, how do you think, Marc, that AI would allow you to go upsell back in an install base? Can you just quantify how that might play out? And thirdly, for Mark Hawkins, not to leave you off, but as you execute Marc's plans to double the size of the company, how should we be thinking about the margin profile? Is there a nonlinear element of the margin growth in the next three to four years as you get scale? Thank you very much.
Keith G. Block - salesforce.com, inc.: Yeah. Kash, hi, it's Keith. So thank you for the complex multipart question. I'll lead off with this part. So as you know, we did a dozen plus acquisitions in FY 2017; the integration has gone incredibly well as we continue to operate the company at scale and growth. We have a standard template and process when we integrate these companies in all lines of business. So for example, in the go-to-market business aspect of the company, we try to keep these companies together because we want to incubate them. We want to grow them. We want to nurture them. We want to bring them into our culture, but we also want to make sure that we allow or we put them in a position where we can attach to the install base and the customer. So they can get the power of Salesforce when they come into the company. We've seen some great success. A good example of that is the Demandware acquisition, now called Commerce Cloud. The GMV growth was excellent. We signed up some great business in the quarter. But it's – because we have a standard model from an operational perspective on how we bring these companies in so that we minimize disruption and we try to get them to hit the ground running as fast as we can.
Mark J. Hawkins - salesforce.com, inc.: Let me take the second one in terms of the operating margin as we go to take the company forward, Kash, happy to talk about that. One of the ways to think about the operating margin is number one, we'll be thinking about it consistent with our revenue, operating margin framework and that will guide us as we continue to absolutely propel forward the growth and also expand the operating margins and drive the cash flow at the same time. One of the things that's interesting though, Kash, about your question then is – if that's the forward-looking kind of thought about it, let's look at this year. And this year, it's really effectively been in the middle of the framework when you take 78 basis points of year-on-year improvement, and if you think of 150 basis points of headwind that we took, those things we kind of think about a few of those together in 2017. But going forward, again, we'll be – we'll certainly be committed to the framework. And you can certainly see what we've done in the last three years when you talk about doubling the company cash. The last time we did it, if you think about 2017 – 2014 to 2017, we literally doubled the revenue of the company. We increased operating margins by approximately 430 basis points while nearly tripling the free cash flow. So you can see what we've done in the past. You can see what our most recent year is. And you can see the framework to guide us forward for the future.
Marc Russell Benioff - salesforce.com, inc.: Well, I really appreciate the other question about Einstein. And I thought we should bring Einstein on to the earnings call and we'll let Einstein answer that for you. No, we're not going to do that. But that would be a good part of it, wouldn't it? So yeah, Einstein is an upsell opportunity into the install base, but that's not our primary goal with it. For some of our customers, they will receive Einstein as part of their platform. For other of our customers, they will pay for Einstein. But I think the most important part of Einstein for us is its differentiation against other CRM products. Now that Salesforce has shipped Einstein into its core platform and released it to its customers worldwide and now that so many customers are using Einstein and we have so many exciting stories about Einstein which is only going to accelerate through the year, Salesforce is the only CRM platform in sales, service, marketing and commerce and community and analytics, as I mentioned, that has this deep artificial intelligence capability available to it. And that is going to accelerate this year, not only in innovation, but also in customer use. And I know how much customers love this platform and how much they're going to use it going forward. Mark, do you want to add to that?
Mark J. Hawkins - salesforce.com, inc.: I think the Einstein is just for me personally super-interesting, Marc, because as you know, I use Wave all across the company. I instrument literally every aspect of finance that you can think with Wave. I probably legitimately have more than 50 dashboards. And I think about, Marc, some of the application of Einstein to each one of those dashboards. So as a big use case for a Fortune 500 company, I just see a really interesting opportunity going forward with Einstein.
Marc Russell Benioff - salesforce.com, inc.: Keith, do you want to add any thoughts about what you're seeing with customers in Einstein?
Keith G. Block - salesforce.com, inc.: Well, I think that the – I think it's pretty clear that customers – the company over the last 18 years has had an incredible vision and consistently has delivered new innovation to the marketplace. Obviously, pioneer in cloud, and bringing Sales Cloud to the market 18 years ago was a great start. It was a first act. Many companies never get beyond that first act. We've gotten beyond the first act, the second act, the third act, the fourth act, and we're well into our fifth act-plus around innovation and Einstein is certainly a great example of that. If I looked at use cases for Einstein, overall, I would tell you that this is really bringing insight to action across sales and service and marketing and commerce, if you think about opportunity insights or account insights, predictability scoring, et cetera, et cetera. I mean, I can go through every one of the lines of business. But at the end of the day, yet again, you're painting a vision for our customers and providing them with a very compelling technology to get insights about their customers and what sort of use cases that that technology can be applied to. So every customer that I've spoken with is hugely excited about the potential for Einstein and what it means to their business models and their business. And we're just starting to see the beginning of it.
Marc Russell Benioff - salesforce.com, inc.: And I think you're going to see that next week when we introduce you to several of these customers who completed extremely large transactions with us and increased their strategic relationship with us, and many of those are based on Einstein. And we want to hold back some of those demonstrations and review that – reveal some of those technologies and deals so that we can really emphasize them appropriately.
Operator: Your next question comes from the line of Karl Keirstead with Deutsche Bank.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Thanks. This question is for Mark Hawkins. Mark, I had a question on the Q1 DR guide and hence the implied billings guide. Mark, this always happens when you post a big 4Q DR number. But the math means that the sequential DR decline is large and it obviously has the effect of making billings growth look perhaps less than what some investors wanted. Is that merely this sequential DR math dynamic at work maybe made a little bit worse by this steady increase in 4Q/1Q seasonality, which you've been flagging for a while, or is there anything else that you could call out? Thank you.
Mark J. Hawkins - salesforce.com, inc.: I really appreciate the question, Karl, and I think you've absolutely nailed it. I think we – as you said, we've been calling this out for years, and you can see the mathematical symmetry of what's happening. And again, our thesis is that other companies that eventually get to the scale, as such, companies will see this similar kind of phenomena, Q4s get bigger and bigger for lots of reasons. It's our biggest renewal quarter; it's our biggest new book of business quarter. People want to consolidate their deals as they continue to grow their strategic relationship with Salesforce, which is happening, as Keith had called out, and so you can see exactly what he talked about. Our DR was very strong. In Q4, we had very strong invoicing, very strong demand. And that, of course, has the effect of the sequential growth goes higher and higher and then in the next Q1, it goes lower and lower. Very mathematically symmetrical to what we would've expected. But really the sound bite on this thing, separate from the leap year which we called out last year, just to make sure people have that reminder, is fundamentally our demand environment is exactly as Keith and Marc have described and I've described is very strong. We just finished a really strong year and, as a result, raised our guidance for the whole year. And that is really the point that we're trying to make, but I think you understand it perfectly, Karl.
Operator: Your next question comes from the line of Alex Zukin with Piper Jaffray.
Alex J. Zukin - Piper Jaffray & Co.: Thanks, guys, for taking my question. Congratulations on the quarter. Marc or Keith, how would you categorize what percentage of your Salesforce is currently fully trained to sell Service Cloud? And given that this market has five to six times more seats than Sales Cloud, what kind of share do you think you can get over time in the market?
Keith G. Block - salesforce.com, inc.: Yeah. So, hi, it's Keith, let me take this. So, look, we put a premium on what we refer to as enablement, right? We bring a lot of people into the company, 5,000-plus people this year. And we spend an incredible amount of focus time making sure that our people – all of our people are brought up to speed on the features and functions of any of our cloud, take Service Cloud as an example since it's the one that you asked about. And we take advantage of some amazing technology; Trailhead is an example, so we're making sure that we can bring people up to speed and hit the ground running very quickly. So this is an ongoing thing. We don't just train somebody once and then that's it. There's no end of job when it comes to the training and enablement. As I said, I think it's one of the reasons why we're so different than the rest of the marketplace in terms of the effectiveness of our go-to-market teams. And specifically on Service Cloud, look, we're the market leader, okay? So we had amazing growth. The Magic Quadrant. We're the market leader of the Magic Quadrant with Gartner, if you take a look at that. This is a $2.5 billion run rate business. It is – after Sales Cloud, it is the largest cloud, I guess you could say, company in the world in terms of size and scale. And again, we're taking market share. We're number one in the marketplace. So we've got incredible capabilities. We continue to improve the product. We're enabling our sales teams and our customers' success teams, and I think it shows up in our results.
Operator: Your next question comes from the line of Phil Winslow with Wells Fargo.
Philip Winslow - Wells Fargo Securities LLC: Hey. Thanks guys, for taking my question. Just actually one question for Mark Hawkins, just a sort of a point of clarification. Unfortunately, the conference call I think broke up when you were giving the high end of your margin expectations for this year and it wasn't in the transcript, either. So wonder if you could reiterate that. And then sort of a follow-on for both Keith and Marc off of that. Obviously, you've gotten questions about upsell, cross-sell and just the framework you've given for margin. But as you increasingly attach, as Keith, you were just talking about, Service Cloud or Marketing Cloud, which is one that I'd particularly like you all to double-click on. How are you thinking about that as far as just sort of where you are in that process in terms of just training up the sales force to do that? And then how is that contributing to leverage and the framework, just call it, more attach of clouds per customer?
Mark J. Hawkins - salesforce.com, inc.: Got it. Well let me, Keith has something, then I'll kind of tag team on this. Let me just address that. First of all, Phil, thank you for alerting me that it broke up during that. Our, pleased to report that in addition, our revenue, taking that up to $10.2 billion for the year. The operating margin, we've expanded it from 125 basis points to 150 basis points for fiscal year 2018. And that is despite the fact that we expect 50 basis points of pressure associated with FX. So we're still going to take it up between 125 and 150 irrespective of that additional 50 basis points of pressure, Phil. Point number one. Point number two, Keith, I think he's asking a little about cloud, cross-sell and opportunities from that standpoint, and if you want to address that, then I'll talk about the margin at the end.
Keith G. Block - salesforce.com, inc.: Yeah. Let me talk about that. So we're in an enviable position where we're a market leader in every cloud that we make and produce and bring to the market, and that drives incredible amounts of customer success into the marketplace for our customers. And that is where we are laser-focused. And when we go to market, we go to market on a solution basis, which is typically a multi-cloud solution. So that could be by industry, that could be by line of business. But when I think about, for example, the top 10 deals in the quarter, I can tell you that 8 of the top 10 deals in our quarter in Q4 had multi-cloud solutions. So that means it wasn't just Sales Cloud. It was Sales Cloud and Service Cloud, or it was Marketing Cloud and communities, or it included Analytics, et cetera. So again, customers are buying solutions. They buy solutions because they're looking to solve a business problem, and we are uniquely positioned to solve those business problems in the marketplace as it relates to customer engagement. So we're in a great product position. We have an excellent execution strategy which I outlined in the call earlier. And yeah, just to give you an example, I talked a lot earlier about the level of relationships that we're establishing with these customers. When I talked about achieving this goal of 100 $10 million-plus relationships and doubling the number of $20 million-plus relationships, just to put that into perspective, if you go back to – I joined the company back in FY 2014 – and again, I had the privilege of working with an amazing team and an amazing company. But to put that in perspective, fast forward to where we are today. We have three times, three times the $10 million-plus relationships with customers than we had back in FY 2014. We have five times the $20 million-plus relationships that we had back in FY 2014. Well, how did that happen? Well, it happened because we had a compelling vision. It happened because we had a multi-cloud portfolio that added a lot of value, incredible value, that allowed these customers to drive digital transformation and engage with their customers in entirely new ways, in unprecedented ways. So there is an incredible amount of opportunity on an attach basis across all of our clouds. We're seeing more and more demand for it, and we are uniquely positioned to provide that for our customer base.
Marc Russell Benioff - salesforce.com, inc.: And I think this is really kind of get back to the upsell comment before, which is in terms of upsell and cross-sell and kind of selling these CRM cocktails. When we're going in to a customer, I think it's important that we are talking to them about what are they trying to accomplish with their customers. We're not there to sell them the Salesforce automation solution or a service solution or marketing or platform. I think our first question is, tell us about your customer strategy. How are you going to connect with your customers in a whole new way? How are you going to build a one-to-one relationship with your customer? How do you create more collaboration across your enterprise and with your partners and with your customers? How do you build communities with your customers? And I think through these probing and question answering and really asking these questions in the customer's language, specific by vertical, that is, we're trying to speak to the customer these questions in their own language. And that's an incredible transformation that Keith has led over the last four years. And you can see that now when we talked about we've got five of the top five banks, five of the top five systems integrators. When we talked about Deloitte, you know who all the other systems integrators are, and they're all using Salesforce. You look at the top tech companies who aren't our specific head-to-head competitors, they are using our products. You look at the media companies. And that's very exciting what has happened, this transformation of Salesforce. And we're not just selling them SFA. We're selling them a broad set of solutions. Einstein is a huge differentiator. Mobility is a huge differentiator. Platform is a huge differentiator, because our competitors just don't offer these capabilities. They just don't have it. And I think that that has really become an incredible thing in this cross cloud vision which is a vision we've had for a long time, but I think we're executing it now better than ever. And when we look at these very large customers getting much, much larger with us, it's because they're embracing all of our clouds. They trust us. They know we're going to make them successful. We're there for them. We're deeply committed to our customers and we're going to deliver success for them, which means, for them, growth. They want customer growth and that's what we're going to deliver and I think you say that's really what we're talking about.
Keith G. Block - salesforce.com, inc.: Absolutely. I think it's listening. Listening is very, very important, but also it's bringing a point of view, whether it's an industry perspective or a line of business perspective, as I said before. At the end of the day, let's use consumer packaged goods, in a quarter, three out of the top five consumer packaged goods companies in the world, and these are massive companies. These are brands that we all know and we'll talk a little bit about that next week. They are expanding their relationships. They are betting their business on Salesforce. That's pretty compelling.
Marc Russell Benioff - salesforce.com, inc.: Very exciting. And then Mark, how are you seeing this play out in the financials?
Mark J. Hawkins - salesforce.com, inc.: Well, I think on the financial side, one of the things I spend a lot of time, Marc, as you know, with a lot of the top banks all over the world and, obviously, we see people, customers who respond very favorably to that. And we've announced big bank after big bank after big bank, who I think this whole vertical side, Keith and I talked, we spent time in Davos with a number of the absolute top banks in the world, and Marc, this whole language of what do they need? What do they need for wealth management? What do they need for other applications and then we're able to actually meet that need and build a long trusting relationship with them. So that is happening...
Marc Russell Benioff - salesforce.com, inc.: I think that really gets down to why – I mean, you talk to me, you talk to Keith, Mark, we've never been more excited about Salesforce and our opportunity, our relationship with our customers, the potential with our customers and also we've never been more excited about the CRM market, to see the CRM market itself accelerate has become larger than the operating system and ERP and database market is because it has these really important critical growth drivers of our industry, not just Salesforce Automation. Not just customer services work. Not just marketing cloud and like, messaging and email marketing. Not just commerce, but all of these things and so much more and we still feel, even though we're forecasting $10.2 billion for the year and even though we doubled the company in the last three years, tripled the cash flow, increased operating margin every year, like Mark has said, we've just never been more excited about the future and what the opportunity holds for Salesforce and for our customers, specifically. And you're going to see that on March 7 as well. Okay, John. One more question.
Operator: Our next question comes from the line of Derrick Wood with Cowen & Company.
Derrick Wood - Cowen & Co. LLC: Great. Thanks and congrats on the quarter. I wanted to go back to the billings guidance and I know we're going to be getting a lot of questions on this tomorrow. So maybe just to diffuse concerns on pipeline and, obviously, how you guys are talking today about your customer opportunities and everything, it sounds like things are great, but Keith or Marc, would love to just get your view on the macro right now and how you see overall IT spending environment trending as we enter 2017.
Keith G. Block - salesforce.com, inc.: Yeah. So this is Keith. Look, we talked about this earlier. CRM is the fastest-growing enterprise market and we're the market leader. We're taking shares in the marketplace. We continue to separate from the rest of the marketplace. There's a number of reasons for that. Obviously, it starts with a compelling vision, an incredible execution and operations of scale. But we started off the year with a fantastic quarter. We're certainly very, very proud of the entire company and are very thankful to our employees, and all of our – really all of our stakeholders. But we have some momentum carrying into the quarter. And I think that's reflected in our forward guide, which I think Marc and Mark talked about. So there's a lot of momentum. We're very excited. We've got a great story, a compelling vision for our customers and we continue to execute in an unprecedented way, better than anybody else in the marketplace. Marc, I don't know if you want to add...
Marc Russell Benioff - salesforce.com, inc.: No, I just would add, I think that's exactly right, Derrick. And just fundamentally, the point is that we've raised our revenue for the year. We've actually, because of what we saw in Q4, we've raised the entire guide for the year. So we, obviously, feel very good about the demand outlook.
Derrick Wood - Cowen & Co. LLC: Great, thank you.
Marc Russell Benioff - salesforce.com, inc.: All right. I think that's all the time we have for calls today. We appreciate everyone tuning in. Obviously, we look forward to seeing many of you on March 7 and, of course, updating you at our next results call at the end of Q1.
Mark J. Hawkins - salesforce.com, inc.: Thank you.
Operator: This concludes today's conference call. You may now disconnect. Thank for your participation.